Operator: Good day and welcome to Symantec’s second quarter 2009 earnings conference call. Today’s call is being recorded. At this time I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead, Ma’am.
Helyn Corcos: Good afternoon and thank you for joining our fiscal second quarter 2009 earnings call. With me today are John Thompson, Chairman of the Board and Chief Executive Officer of Symantec; Enrique Salem, Chief Operating Officer and James Beer, Executive Vice President and Chief Financial Officer. In a moment I will turn the call over to John. He will provide high-level comments on the company. Enrique will follow with quarterly highlights and James will wrap it up with the review of the financials and our guidance as outlined in the press release. This will be followed by a question and answer session. Today’s call is being recorded and will be available for replay on the Symantec Investor Relations homepage. A copy of today’s press release and supplemental financial information are available on our website and a copy of today’s prepared comments will be available on the Investor Relations website shortly after the call is completed. Before we begin I’d like to remind everyone that some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, cash flow from operations, amortization of acquisition-related intangibles and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. Additional information concerning these risks and uncertainties can be found in the company’s most recent periodic reports filed with the US Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with generally accepted accounting principals or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results which can be found in the press release and on our website. Now I would like to introduce our CEO, Mr. John Thompson.
John Thompson: Thank you Helyn and good afternoon everyone. In the face of a slowing economic environment our company generated year-over-year growth in revenue, demonstrated solid progress on operating margins goals and delivered strong earnings growth. Our core businesses; consumer security, backup and storage continued to grow and drive profitability for our company. We saw solid performance in the large enterprise buyer segment as illustrated by the strength of our big deals during the September quarter. While we are pleased overall with the results like many other companies we saw a pause in IT spending among some of our customers during the last week of the quarter due to what we suspect were uncertainties and constraints in the global markets. As expected, the strengthening of the dollar versus other currencies around the world also impacted our financial results. While a stronger dollar is certainly an important metric of the health of the U.S. economy relative to other economies it will continue to have an impact on our results for the December quarter. Therefore, we’re updating our business outlook to reflect the likelihood of a continued economic slow down and the change in foreign currency rates. In addition, we intend to maintain our flexibility with customers in tailoring transactions to assist them in acquiring the technology they need to weather these tough economic times. The strength of our financial position as well as our focus on areas where we can outperform our competitors should position us well in this marketplace. As always, we will continue to be prudent in managing our costs and expense. We have identified incremental cost savings areas and are making them part of our continuous improvement approach. These new actions are consistent with the efforts we have had in place which have produced the improvements in operating margins over the past four quarters. These actions are intended to align our cost structure with the new realities driven by the economic environment. James will provide a bit more detail on our plans in a few minutes. We think customers will take advantage of this environment to both rationalize the products they use and the vendors they buy from. In speaking with customers around the world they feel certain areas must continue to garner their attention and capture the lion share of any new investments they are likely to make over the next year or so. All of these investments must meet stringent ROI standards and support the requirements to create a less complex, more compliant IT infrastructure. Some examples of these areas include more comprehensive storage management solutions to help lower overall hardware spending. Rich data loss prevention solutions to deal with a rapidly changing employee and sub-contractor or contractor environment and services that allow them to selectively out task those things no longer deemed to be critical for them to manage. Our storage business, for example, certainly benefits from the ROI based selling approach we put in place more than a year ago. The recent enhancements to our data loss prevention solution are timely and consistent with what our customers say they need to manage in today’s more uncertain times. We will stay focused on executing our strategy to secure and manage information against more risks, at more points, more completely and efficiently than any other company in the world. Our development teams have been working diligently to deliver next generation products for compliance and systems management. Let me spend a minute discussing a couple of these offers. In the compliance arena, our integrated process automation solution, Control Compliance Suite 9.0, helps organizations generate, create and maintain a sustainable compliance program in accordance with governance mandates and their risk management strategies. Importantly, it should allow our customers to achieve their compliance objectives at a much lower cost than manual or more traditional approaches. Our next release of Altiris 7.0 leverages the proven infrastructure and technology to deliver a tightly integrated solution to help customers automate many of the labor-intensive processes they use today in their distributed client and server infrastructure. The Symantec Management Platform, a core technology of our Open Collaborative Architecture, will be used to integrate technologies from many of our key products including Symantec Endpoint Protection, Backup Exec Systems Recovery, Configuration Management, and Data Loss Prevention. Our customers are really excited about these products and the progress we’re making in integration across our portfolio. Something that will be difficult for some others, certainly for some competitors to achieve through partnerships alone. We are well positioned to keep our business growing and to return value to shareholders. We’ve got a strong balance sheet, a solid recurring revenue model, minimal capital expenditure requirements and a continued focus on improving the efficiency of our business operations. These attributes when combined with our strong product portfolio, diverse customer base and investments in key product growth areas, position our company for continued long-term success. With that, I’ll turn the call over to Enrique who will provide more detail on the September quarter highlights.
Enrique Salem : Thanks John. Good afternoon everyone. I’d like to highlight a few key items of our fiscal second quarter. Starting with our consumer segment, the consumer revenue was impacted by continued softness in the retail sector. As you know, retail sales have been steadily declining. It is important to note that during the September quarter revenue from our retail channel declined by more than 20% year over year. However, our electronic distribution channels continue to grow posting 10% year-over-year growth. Our consumer business remains very profitable and the contribution margin from this segment continues to improve. As you know, we launched the 2009 versions of Norton Antivirus and Norton Internet Security in September. These products have set a new industry standard for speed and performance by being the fastest security products in the world. Initial response to the launch of Norton Internet Security 2009 has been overwhelmingly positive. In addition to the eight top awards we have received to date, Walt Mossberg of the Wall Street Journal notes that NIS 2009 is the fastest, simplest and least obtrusive security suite in the market. We continue to pursue a multi-pronged strategy to acquire new customers. First, we have relationships with seven of the top OEM vendors. We signed several OEM’s during the September quarter including a deal with Packard Bell, where Packard Bell will continue to ship NIS in EMEA. In another deal, a large PC manufacturer has awarded NIS the recommended and trial default positions in EMEA, Japan and Latin America for all small business PC’s for the period November 2008 through April 2009. Second, in the emerging markets where customers are more price sensitive we will grow our business by leveraging the PC Tools brand and its online go-to-market model. Now moving onto our enterprise business. We had another strong quarter in terms of large deals. During the September quarter we generated a total of 326 transactions valued at more than $300,000 each, up 8% compared to 302 transactions in the year-ago quarter. We generated 77 transactions worth more than $1 million each, up 20% compared to 64 transactions in the September 2007 quarter. In addition, we also saw a good mix of our product offerings within these top deals. 87% of all large transactions included multiple products or services providing further validation that during these difficult economic times customers prefer to consolidate vendors and are doing so with Symantec. In our endpoint security business we are seeing good traction in large enterprises and continue to win competitive displacements. We are also seeing large-scale deployments with one high-tech customer deploying our Symantec Endpoint Protection solution on more than 100,000 nodes worldwide. Symantec Endpoint Protection is leveraging the zero-impact performance technology already available in our consumer security products. Our recently delivered maintenance release has faster boot time than any of our competitors. While this business is doing well in large enterprise we saw softness in the mid market influenced in part by weak macro economic conditions. A particular area of strength in our core business continues to be the storage and backup businesses. There are two factors that are driving our storage management business to grow above market growth rates. The first driver is customer’s increasing focus on the hard dollar ROI from savings on storage spending. Customers want to manage complexity while reducing costs and making more efficient use of their existing storage investments. Our storage foundation products help customers simplify their data centers and reduce costs by standardizing the storage management software across their heterogeneous environments. The second catalyst is being driven by large enterprises migrating to Linux and Windows based commodity servers in their data centers. This horizontal scaling allows infrastructures to grow or shrink based on computing demands without huge changes in capital expenditure. These types of data centers rely heavily on sophisticated management and availability tools to take full advantage of server and storage virtualization technologies providing a catalyst for our storage management and high availability businesses. To further take advantage of this shift in the data center we recently launched Veritas Cluster Server One. VCS One is a new high availability and disaster recovery platform optimized for the next generation virtualized data centers. We believe VCS One has a multi-year head start over our competitors’ proprietary high availability tools which are optimized for legacy data center environments. Early adopter reception to this product has been strong with a major telecommunications provider already using this product in production today. Given these factors we are confident in the long-term direction of our server management and high availability businesses. The next area of our business that continues to show strength is backup. The backup market where we have the market-leading product for both high end and mid market segments is being driven by the migration from tape-to-disk, virtualization, de-duplication, and replication. Our next generation data protection strategy leverages these trends and continues to gain momentum with our customers and partners. NetBackup has the best protection for VMware environments and now we have taken these best-in-class virtual machine protection and incorporated them into Backup Exec. This is an example of how we are gaining cost synergies by combining the NetBackup and Backup Exec product teams. We have started shipping Backup Exec 12.5 which not only provides protection for VMware platforms but also supports Microsoft’s HyperV environments. We remain committed to providing solutions that work across all major operating systems, hardware types and across all hypervisors. We recently expanded our strategic partnership with Dell in the backup area. Dell will sell disk arrays that are pre-installed with Backup Exec 12.5 technology. These appliances are extremely easy to deploy, provide support for both physical and virtual environments and are mostly targeted for the SMB marketplace. Small and medium businesses can now take advantage of Backup Exec’s advanced features around SharePoint and Exchange protection and granular recovery of files. Moving on, our archiving and data loss prevention businesses continue to show strong growth, further extending our market leading position. In the same way that databases have become the home for structured information our market leading archiving solution, Enterprise Vault, gives companies of all sizes a primary storage tier for unstructured information. An increasing number of Fortune 100 companies are recognizing that an intelligent archive is the best place to secure and manage your unstructured information. Enterprise Vault 8.0, which we expect to ship in early 2009, will focus on helping organizations reduce the costs of storing unstructured information through data de-duplication and will feature advanced electronic discovery capabilities. Our data loss prevention team had its best quarter ever. We signed deals with some of the largest global enterprises during the quarter with most customers opting to purchase the full suite. For example, a large U.S. credit card company licensed the entire Symantec Data Loss Prevention suite. PCI compliance was the key driver given the requirements to protect credit card information, employee data, financial data, and high net worth customer lists. This customer selected our solution because our detection accuracy, central management and the ability of the solution to scale. During the quarter we also announced the release of Symantec DLP 9.0 which includes endpoint management leveraging Symantec’s Open Collaborative Architecture. This release highlights our focus on integrating key technologies across the portfolio using the collaborative architecture. In closing, we will continue to drive profitability while investing in key high growth areas and further strengthening our competitive position in the market place. With that, I’ll hand the call over to James.
James Beer : Thank you Enrique and good afternoon everyone. I’m pleased that our ongoing focus on managing costs is leading to continued operating margin expansion and earnings growth. I’ll start by reviewing the financial details of the September quarter. GAAP revenue was $1.518 billion. Non-GAAP revenue grew 6% over the September 2007 period to $1.523 billion driven by strong growth in our storage, backup, archiving, data loss prevention and services businesses. Foreign currency movements positively impacted non-GAAP revenue by approximately 3.5 percentage points year-over-year and negatively impacted revenue by 2 percentage points sequentially. Had the exchange rate remained at our guided rate of $1.53 per Euro versus the weighted average rate of $1.49 per Euro for the quarter, our non-GAAP revenue would have totaled $1.541 billion, approximately in line with the mid point of our revenue guidance. The September quarter’s fully diluted GAAP earnings per share were $0.16. Non-GAAP fully diluted earnings per share for the quarter were $0.37 up 28% year-over-year reflecting the combination of continued revenue growth and judicious expense management. International non-GAAP revenue of $764 million grew 5% versus the year-ago period, accounting for 50% of total non-GAAP revenue. The Asia Pacific Japan region grew 11%. The Americas grew 6% and the Europe, Middle East and Africa region grew 3% year-over-year. Emerging markets such as China, India and Russia continued to generate very strong growth rates. Moving on to our non-GAAP revenue by segment. The consumer business generated revenue of $440 million equivalent to 29% of total revenue and grew 2% year-over-year. Moving to the enterprise arena, the storage and server management segment generated revenue of $573 million up 12% year-over-year and representing 38% of total revenue. Our security and compliance segment generated revenue of $403 million up 1% versus the year-ago period. This segment accounted for 26% of total revenue. Our services segment generated revenue of $107 million up 16% year-over-year, representing 7% of total revenue. We continue to focus on improving the cost efficiency of our services operations and we’re pleased with the contribution improvements that the group has made during the past few quarters. Non-GAAP gross margin increased 40 basis points to 85.7% for the September 2008 quarter as compared to 85.3% for the year-ago period. Our continued focus on cost management has also increased non-GAAP operating margins for the September quarter to 29.1% up 390 basis points year-over-year. This is the fourth consecutive quarter in which operating margins have increased strongly versus the prior year. GAAP net income was $140 million for the September 2008 quarter. Non-GAAP net income was $311 million up 18% year-over-year. We exited September with a cash and short-term investments balance of nearly $2.31 billion. During the September quarter we repurchased $200 million or 9.3 million shares at an average price of $21.46. Our net accounts receivable balance at the end of the September 2008 quarter was $645 million. Day sales outstanding (DSO) was 39 days, in line with normal seasonal trends. Cash flow from operating activities for the September quarter was $248 million as compared to $331 million in the September 2007 quarter. This reduction was driven by increased cash tax payments versus the year-ago period in which we received a tax refund. The year-over-year differential in cash taxes totaled over $100 million. GAAP deferred revenue at the end of the September 2008 quarter was approximately $2.71 billion. Non-GAAP deferred revenue grew 4% year-over-year to $2.72 billion. Foreign currency movements negatively impacted non-GAAP deferred revenue by 1 percentage point year-over-year and negatively impacted deferred revenue by 5 percentage points sequentially. Had exchange rates remained at our $1.53 per Euro guided rate versus the ending period rate of $1.38 per Euro deferred revenue would have totaled $2.83 billion. This was weaker than expected due to the reluctance on the part of some of our customers to finalize contracts during the last week of our quarter. Now I’d like to spend a few minutes discussing our expectations for the December quarter. While the storage and security value propositions that we offer our customers give us a certain amount of insulation from the current macro economic environment, clearly no company is immune from its customer's challenges during tough economic times. As a result along with recognizing the recent strengthening of the dollar we are providing a wider guidance range than normal as follows: We are assuming an exchange rate of $1.25 per Euro for the December 2008 quarter versus the $1.45 per Euro we experienced during the December 2007 quarter. Given the rapidly moving exchange rate environment it may be helpful to provide the following rules of thumb as to the impact of currency movements on our financial metrics. For every U.S. $0.01 movement versus the Euro revenue would be impacted by approximately $4.5 million and deferred revenue would be impacted by approximately $7 million. In addition, for every $0.05 movement versus the Euro non-GAAP earnings per share would be impacted by approximately $0.01. It is important to note however, that these rules of thumb will move around based on the actual currency mix of our revenues and expenses. For the December 2008 quarter we expect GAAP revenue to be in the range of $1.446 to $1.496 billion. Non-GAAP revenue is estimated to be in the range of $1.45 to $1.50 billion. In constant currency terms, this range would equate to $1.54 billion to $1.59 billion as compared to the $1.529 billion we generated in the December 2007 quarter. As a result, GAAP earnings per share are forecasted to be in the range of between $0.11 and $0.14. Non-GAAP earnings per share are estimated to be in the range of between $0.30 and $0.33. In constant currency, this range would equate to $0.34 to $0.37 as compared to the $0.33 result in the year-ago period. This guidance assumes a common stock equivalent total for the quarter of approximately 840 million shares. At the end of the December quarter we expect GAAP deferred revenue to be between $2.696 billion and $2.821 billion. We expect non-GAAP deferred revenue to be between $2.7 billion and $2.825 billion. The exchange rate at the end of the December 2007 quarter was $1.47 per Euro. Using this constant currency rate this range would be between $2.854 and $2.979 billion as compared to $2.897 billion at the end of December 2007. We expect about 62% or approximately $920 million of our December quarter revenue to come from the balance sheet. This percentage once again illustrates the degree of predictability that we have built into our income statement during the last few years. Lastly, we have $600 million left in our current stock repurchase board authorization. We continue to be committed to share buy backs as an important part of our capital management strategy. There is further opportunity to improve the efficiency and effectiveness of our cost structure. For example, we just recently entered into contracts with third parties to outsource portions of both our IT and finance back office functions. We are also in the process of outsourcing our European manufacturing operations from Ireland to the Czech Republic. The economic and process improvement benefits of these moves will begin to appear during fiscal year 2010. In the shorter term we are continuing to focus on each line item of our cost structure and the attendant opportunities to drive additional efficiencies. We are in the process of implementing a reduction in force as well as carefully managing the replacement of ongoing attrition. In addition, we are focusing on our travel expenses as well as all other discretionary purchases. We estimate that these actions will allow us to maintain our quarterly operating expenditures approximately in line with the September quarter’s result for the remainder of the fiscal year versus the more traditional pattern of cost increases in the second half of the year. In saying this, I am accounting for the increasing costs driven by the acquisition of PC Tools and am assuming a foreign exchange rate of $1.25 per Euro for the remainder of the fiscal year. In closing, while our September quarter was impacted by the strengthening of the dollar and the weakening of the economic environment we believe that the last three months marked another important step forward in the development and growth of Symantec. We continue to build momentum in terms of the breadth and quality of our product offerings, the depth of our relationships with customers and the efficiency and effectiveness of our back office. Our security products continue to be essential to the protection of digital assets and our storage and system management products save customers considerable amounts of money which will be even more important in the coming quarters. We generate strong cash flow from operations, in part as a result of our predictable maintenance streams and have reduced net capital expenditures during the last two years. We possess a strong balance sheet and have a sustained record of share buy backs while also successfully continuing to expand the product and market scope of the company through acquisitions. As a result, I believe we are well positioned to deal with the current macro economic environment and we will stay focused on both our revenue and cost strategies. Now, I’ll turn the call back to Helen so that we can take some of your questions.
Helyn Corcos: While the operator is polling for questions, I’d like to announce that Symantec plans to attend several analyst conferences over the next couple of months. In addition we will be reporting our third quarter fiscal results on January 28, 2009. For a complete list of the investor related events please visit our events calendar on the Investor Relations Website. We are ready for our first question.
Operator: (Operator Instructions) The first question comes from Robert Breza - RBC Capital Markets.
Robert Breza - RBC Capital Markets: When you dig into the segments when you look at the 12% in storage and server management it would clearly indicate you are taking share from competitors out there. I would love to get an understanding of who and when you look at the security and compliance space growing only 1% how do you feel about your competitive situation there? Do you feel like you are taking share? Maintaining share? How would you classify that?
Enrique Salem: If we look at the strength in our storage and back up business I think what you are seeing is we now have a very strong product line across both the Windows platform and the more distributed platforms and given some of the new features we have been adding our strength in backing up virtual environments and some of the other things we have done in data de-duplication are really starting to pay off. So we are absolutely now given the strength of those products making a lot of progress against the competition where not only in large accounts but also in the mid market. So we continue to see the strength in those products and I think we will continue to gain market share there. I think when you look at the end point security business or the security business I think what you have seen is we continue to do well in large enterprise but we did see some softening in the mid market as we delivered the Symantec End Point Protection technology into that segment. My sense is right now that is more impacted by some of the things going on in the macro environment and I fully expect with our new maintenance release, Maintenance Release 3, that the performance improvements will shine in the mid markets and continue to improve our position in that segment.
Robert Breza - RBC Capital Markets: James, as a follow-up you mentioned the reduction in force. Can you help us with some ranges there? Is it like 5%? 2-3%? Can you help us in a range of how we should think about the reduction of force?
James Beer: We are looking at a reduction of around 4.5% of our dollar volume for people.
Operator: The next question comes from Heather Bellini – UBS.
Heather Bellini - UBS: I was wondering if you could talk a little bit about deferred's. They were obviously impacted by FX and you also mentioned by the macro environment. I was wondering if you could share with us a little bit what business segment, X’ing out FX for a minute, which business segments were the weakest in terms of deal signings towards the end of the quarter and then how should we think about bookings growth going forward in terms of how you guys define bookings growth? Then I have one follow-up.
John Thompson: I think it would be fair to say that we saw softness in the mid market and the low end of the enterprise segment as we entered the last week of our fiscal quarter which happened to be the week of the Monday $700 million decline in the DOW. So it is an interesting time to be trying to close business. It was characterized in the segments I just mentioned. It had a particularly strong impact quite frankly in Europe and the U.S. compared to APJ and many of those were deals that just pushed as opposed to deals that essentially went away or we lost to competition. The question is for how long have they pushed. Do they show up in our December quarter results or do they become an issue that we will continue to chase until the economic environment improves just a bit. Let me have James answer the second half of the question.
James Beer: In terms of bookings, Heather, I wont try to get into predicting bookings rates going forward but certainly as we think about what we achieved in the September quarter I know many of you will look at the bookings as the calculation of revenue plus change in deferred. Certainly I would urge you and your colleagues to look at the change in deferred on the cash flow statement. The cash flow statement is using an average FX rate for the period whereas if you look at the balance sheet it is going to use that end of period exchange rate in that statement. The balance sheet would give you a very different answer. It would very much accentuate the volatility we saw in the foreign exchange rates towards the ends of the quarter. I would urge you to focus on revenue plus change in deferred as defined on the cash flow statement and doing that calculation gets you out to around 3% bookings growth which is directionally in line with what we accomplished during this quarter.
Heather Bellini – UBS: John since you mentioned it you said the question is how long have the deals pushed out for. Do you have any sense given what you have seen so far in the first month of the quarter? Do you have a view on how long they might push out for?
John Thompson: I wish I had that crystal ball. I do think our teams are very mindful of where the transactions are, what the issues are that might cause them to move with customers. As I said in my planned remarks I think we are going to have to use the strength of our financials to help move transactions along. That does not mean we go and do crazy things that pollute our balance sheet but we should come through this a lot stronger than companies that don’t have the financial muscle we have. Enrique, James and I will certainly be working with the geographic leaders that ensure we structure transactions that balance taking business off the table, recognizing it in the period and building a deferred revenue pool that underpins the cash flow of the company.
Heather Bellini - UBS: Given the expense reductions and the risk you discussed, given what you are doing there are you still holding to your view of 100 basis points of margin expansion? Is that why you are making the cuts to still be able to hit that target given the new revenue view?
James Beer: One hundred basis points of operating margin expansion is a long-term goal as we discussed on analyst day and other occasions. Certainly I am pleased with the record we have been able to record in the first half of the year and these moves we are announcing today for the cost structure for the back half of the year will obviously help us as well. I think I will just leave it at that.
Operator: The next question comes from Sarah Friar - Goldman Sachs.
Sarah Friar - Goldman Sachs: If I could just come back to guidance as well, looking at what you have got from a revenue perspective we would guess some of your currency impact is probably about negative 5% in December just based on that same exchange rate you gave James. So in effect it looks like you are guiding still flat to maybe 1% growth with the mid point. What else are you trying to encompass with that guidance? Are you really assuming ongoing, very tough macro backdrop, almost recession type scenario? I’m just trying to get a feel for what you thought about how you were going to guide ultimately.
John Thompson: I don’t think this is a time for us to be cavalier about our guidance and overly aggressive in forecasting what we think the macro economic environment might produce. While I would never want to have this characterized as conservative guidance, our view is that we need to make sure given what we observed at the end of the September quarter we factor that into our thinking with respect to what could very well happen in December. December historically has been the strongest sequential growth period for us. It is the period in which we do the largest amount of business and the largest amount of transactions with large enterprise customers. But we cannot ignore the fact that many of our customers are suffering. As such that could have some consequences on us.
Sarah Friar - Goldman Sachs: You talked about this kind of SMB type weakness. Can you also touch on the consumer? I know Digital [Reverse] call last night they talked about a real kind of stop in spending in the last week, almost 9/11 like, but they haven’t seen a lot of that rebound so it has been one data point about a more consumer driven purchasing behavior. From your end what have you seen generally?
John Thompson: I think as we look at the consumer business it is pretty clear that retail has continued to soften and as I mentioned in my comments we basically are down about 20% year-over-year on the retail side. Online has continued for us to do well. I think we were 10% year-over-year growth and we do see a continued move to online. I haven’t seen any big change in the business we are doing online at this point but retail has been the weak spot.
Sarah Friar - Goldman Sachs: Can you tell if it is new customers that are going away or if it is actual renewal rates that are being impacted from customers that already have Symantec but maybe aren’t choosing to renew?
John Thompson: Given that much of it is in the retail channel it is hard to discern whether or not it is a repeat buyer into the store or a brand new buyer who hasn’t shown up in the store. I think you might get some color on that as you see what some of the electronic retailers announce as their results as time goes on. But fundamentally the online channel remains quite strong for us but retail has been a source of agony for lack of a better term for us for 4-6 quarters now. It has been on a steady decline and we saw a fairly precipitous drop during the September quarter.
Enrique Salem : Just one comment, I don’t know that we have seen a change in the renewal rate as a result of what has been going on.
Sarah Friar - Goldman Sachs: You would see it in your auto renewals, right?
James Beer: I am quite happy with how auto renewal has been going along. Now we have really rolled that out and seen the year-over-year effects right around the world and it has been a very positive development for us.
Operator: The next question comes from Adam Holt – Morgan Stanley.
Adam Holt – Morgan Stanley: If I could just start with maybe a follow-up in the consumer business, I apologize if I missed this, but did you give what the mix of 360 was in the quarter? Maybe give us your thinking about what you are expecting out of the retail channel heading into the holiday season.
John Thompson: We didn’t break out the differenced between 360 and Norton Internet Security but as you look at it right now 360 is roughly 28% of the revenue in the consumer business and I expect that to continue to move in becoming a larger and larger mix of consumer revenue because what we are doing is we are trying to encourage our customers to continue to move from the point products to the higher end suite which is Norton 360. As far as the holiday season and our expectations we do believe that we have a premium product that will do well but it is important to note it is too early to tell how much demand we are going to see in the holidays. We are well positioned for what is known as black Friday, which is the day after Thanksgiving which is the biggest retail shopping day of the year. A lot of work we have done with our partners but ultimately it is too early for me to try to predict how many folks are going to be in stores this holiday season.
Adam Holt – Morgan Stanley: A couple of numbers questions, the tax rate was a little bit lower than we expected in the quarter. How should we be thinking about the tax rate for the back half? Then just on the margins understanding that currency is going to have a negative impact on margins for the quarter, still looking at pretty materially down sequentially and year-over-year. Anything else in particular you are factoring into your expectations for the margin guidance for the December quarter?
James Beer: On the tax rate I would suggest we continue to look at 31% for the back half of the year. The September quarter benefited from a couple of one-off items that I wouldn’t expect to be repeating going forward. In terms of currency effects around margins again we are seeking to our overall long-range goal of 100 basis points and we will see where the various actions that we are taking on our cost structure going forward here in the next few months have us land.
Adam Holt – Morgan Stanley: On that front we should expect to see the 4.5% taken out of the cost structure through the December quarter so you would hope to have that done by the end of December?
James Beer: No. I would say that impact will be only fully reflected within the P&L come the March quarter. Particularly in parts of the world such as Europe it really takes longer to implement any action like this. Even in the Americas it is going to take us a little bit of time here to complete the implementation
Operator: The next question comes from Brad Zelnick – Bank of America.
Brad Zelnick – Bank of America: Just to follow up on some of your earlier questions on guidance. Beyond the assumptions for FX just very specifically are you assuming the same economic environment you saw in the last week of the quarter across all 13 weeks in the December quarter? Then a follow up to that do you have any outside seasonal exposure to particular vertical markets or customer segments in December?
John Thompson: I don’t think you could say we are good enough to declare the effects we saw in the 13th week of the September quarter are going to perpetuate themselves quarter after quarter or week after week. I think what you can see or observe in our forecast is a sense that there will be a sluggishness in the way customers are willing to not just consider transactions but also commit to those transactions. That is more likely to be reflected in what happens in the last two weeks of our quarter. That is always the bewitching hour if you will for an enterprise software company because that is when the vast majority of the big deals get done. With respect to verticals, clearly financial services and telecom are important sectors for us and the enterprise revenues component of our business alone financial services including banks, commercial banks and insurance represents in the range of 14-15% of revenue and so we are very mindful of what is going on there and we are watching that very, very closely. If that is the specific vertical you are referring to.
Brad Zelnick – Bank of America: I was looking across any vertical that might be relevant going into the December quarter. If I could just ask a quick follow-up for James, can you just qualify for us the exact impact of cash tax payments in the quarter year-over-year?
James Beer: I mentioned on the call over $100 million. Very close to that figure.
Operator: The next question comes from Brett Thill – Citigroup.
Brett Thill – Citigroup: Getting back to the consumer business, one of your large software peers was I think pretty surprised by the up tick of the sub-$500 PC or net books. As you look at the impact to your cash and your consumer security business what impact can you assume these net books are going to have an impact on as it looks right now this is about 1/3 of the PC growth. Is there any impact at all?
John Thompson: I think the point is no one is going to go on the internet without our security software. I think that is the most important point independent of the price you pay for the underlying computer what we have seen is what matters is the data on that computer you don’t want to risk losing the data or your identity and you don’t want to risk having problems with what you are doing on that PC. So I think the price point of the PC is not indicative around the demand for our security software.
Enrique Salem: I think in addition to that the question we all have to ask is if customers are so price sensitive they would trade down to a $500 PC is it more likely in this economic environment they would do nothing. I’m not sure there is a marginal material difference between the PC they have and the one that costs $500. I think the issue about price sensitive markets is more about whether or not they will buy a new PC at all, not whether or not there will be software on it.
Brett Thill – Citigroup: For James can you just give us the ending headcount and also comment on the linearity? It sounded like it was more like 10/20/70 month to month versus your historical average closer to 20/30/50 this last quarter.
James Beer: Our headcount for September was right under 18,000 and what was the point about linearity again?
Brett Thill – Citigroup: Just in terms if you looked at it month to month what portion of the revenue came first, second, third?
James Beer: Of the revenue, that would have been a normal characteristic month to month during the quarter. You see the pausing of spending commitments that we have been referring to came very late in the quarter itself so it would have had a relatively minor impact on recognized revenue. It really impacted deferred revenue.
Brett Thill – Citigroup: So the bookings was more back end loaded this quarter than past quarters?
James Beer: No, I wouldn’t characterize it that way either. Yes from the extent that the last day or two we saw fewer bookings than we would have normally expected, so if anything I suppose mathematically it means they were more front end loaded.
Operator: The next question comes from Daniel Ives - Friedman Billings Ramsey.
Daniel Ives - Friedman Billings Ramsey: On the Message Labs acquisition what is the financial impact from that acquisition in the December quarter?
James Beer: For the December quarter, well a relatively modest impact because we are not presuming we would close that deal until well towards the back end of the quarter.
Daniel Ives - Friedman Billings Ramsey: Could you just walk us through this environment, are you doing anything differently to get deals done?
John Thompson: I think that we are obviously sensitive to what is happening to our customers. But we are not changing or go to market strategy at all. We are sensitive to what is the term of the agreement they are looking for but I don’t expect to see any material difference to deals we have done over the last year.
Operator: The next question comes from Michael Turits – Raymond James.
Michael Turits – Raymond James : Obviously the consumer and enterprise security are the weaker segments this quarter with storage very strong. Great to see, are you confident that is sustainable? Obviously with the other two segments so weak even if we are going to see this level of constant currency growth we need to see storage continue to really out perform.
John Thompson: We think this is about the strength and diversity of our portfolio. That at any given moment in time we may have a weaker segment than we would hope or expect but that will be offset by strength in another sector or segment and we have been trying to build a business for the last 4-5 years that is about diversity. Product diversity, customer base diversity and geographic diversity. Sometimes those points work to your advantage and some times they work against you. Clearly currencies worked against us this quarter. That was a challenge, if you will, with the geographic side. But by contrast the storage business performing as well as it did really does underpin the validity we think in our portfolio strategy and our ability to go to large customers and say you have an array of things you can do with us. Let’s sit down and structure a transaction that reflects spending across the domains of activity we have that could in fact lead to stronger market share for us on the back end of this economic downturn.
Enrique Salem: I think something that is going on that is helping us is the volume of data is continuing to increase at a very, very rapid rate. So we are seeing 60% data volume increases year-over-year and so that fires an increase in data protection technology. So you need our back up technology and given the rapid expansion of data or the rapid growth in data you need to also look at new technologies like disk space technologies to allow you to complete those back ups in the time frame in the back up windows you have. So we believe that this rapid growth in data volumes and the requirements for new technologies are both going to contribute to strength in our storage and data protection business.
Michael Turits – Raymond James : On the security and compliance side, assuming demand in the macro environment stays about where it is are there things that are taking place in that business in the security and compliance business that would suggest that can begin to accelerate even in an environment that looks like this one? For example, the not as great as expected exceptions of SAP in mid-market. So can we see an acceleration in that market even if things stay bad?
John Thompson: There are two things going on. One, I think the new maintenance release for Symantec End Point protection I think is going to be a net positive for all segments but especially the mid market. I think the second area, we just launched our new control compliance suite which is our integrated set of compliance technologies and I do believe the combination of using an agent and agent-less approach is going to help the performance of the security and compliance.
Michael Turits – Raymond James : One clarification for James, you said you expect to keep the opEx at the September quarter level including right up until the fourth quarter. I assume that does not include Message Labs in the fourth quarter.
James Beer: That is correct. I am assuming the cost associated with PC Tools but not Message Labs.
Michael Turits – Raymond James : Any rough thought on what that will contribute to expenses in the fourth quarter?
James Beer: No. I won’t throw out that estimate right now. We are still working through that.
Operator: The next question comes from John DiFucci – JP Morgan.
John DiFucci – JP Morgan: I just want to be clear John and Enrique that the deals that did slip out of the last quarter it doesn’t sound like you have seen any of them close yet. Or did some of them or any of them close?
John Thompson: We have seen some close. It would be typical with normal patterns. Every quarter you have deals slip. Some of those deals do get done in the first week or first month of the subsequent quarter. I think what was the bigger surprise to us this quarter was the sheer volume of not just the number but the dollar number of what slipped.
John DiFucci – JP Morgan: Also to be clear it doesn’t sound like these were especially large deals and slipped. It is just a mass of mid to smaller deals?
John Thompson: They were a range. There was a full range. There was at least one really big one we were looking at and there were a number of others we would have loved to have gotten. So it is the typical pipeline management issue.
John DiFucci – JP Morgan: James on the cash tax issue, going forward because you can manage that in certain ways and it sounds like it hurt you this quarter but may have helped you perhaps a year ago or so. What should we be thinking about that going forward? Cash flow still looks pretty decent but I just want to make sure we don’t get surprised if you have to pay a higher cash tax rate for several quarters.
James Beer: I would characterize our cash tax payment in the September quarter as really typical of what we will see in each of the quarters of this fiscal year. Nothing abnormal in this quarter’s payment. It was September a year ago where we had the abnormality.
John DiFucci – JP Morgan: Was there an abnormality in the December quarter a year ago?
James Beer: December, no. We were a little bit light on cash taxes versus where we normally would have been but not to the degree that we saw in September of 2007.
John DiFucci – JP Morgan: I’m sorry to keep asking this but also for the March and June quarters, were those sort of normalized?
James Beer: I would characterize the March of last year and June of this fiscal year as more normal.
Operator: The final question comes from Israel Hernandez – Barclays Capital.
Israel Hernandez – Barclays Capital: Can you talk about the performance of EMEA; I think it was up 3% year-over-year? Did you see any patterns that were different from the events you described at the end of the quarter? Were there any particular standouts or any countries that performed any better or worse relative to your expectations?
John Thompson: Candidly, UK and France were weaker than we expected. The UK is our largest region within the EMEA territory and it had a weaker close as did France than we would have expected. By contrast, Germany had a very solid quarter and as some of you will recall we have been working on building and improving our business in Germany for quite some time and we were pleased to see the performance in Germany during the September quarter. That said, better performance in the UK and France would have certainly helped overall Europe results.
James Beer: I think it is fair to say that Eastern Europe and the Middle East were strong.
John Thompson: Correct. They just need to be bigger that’s all.
Operator: That is our final question today. Mr. Thompson I will turn the call back over to you.
John Thompson: Thank you very much everyone for dialing in. We posted strong, solid earnings performance in the September quarter. We have our eye on the issues we think we need to manage in this uncertain economic environment, not just in terms of what products we deliver and the strength of the relationships we have with our customers but what we do on the cost side of our business to make sure we are being thoughtful and prudent. We believe that the strength of our portfolio, the strength of our balance sheet and quite frankly the resolve of our team will help to carry us through during these uncertain economic times. We look forward to communicating with you about our progress as the quarter unfolds. Thanks very much.